Operator: Ladies and gentlemen, thank you for standing by. Welcome, and thank you for joining the HUGO BOSS Q3 2024 Results Call. [Operator Instructions] The presentation will be followed by a question-and-answer session. [Operator Instructions] And now I would like to turn the conference over to Christian Stohr, Vice President of Investor Relations. Please go ahead.
Christian Stohr: Good morning, ladies and gentlemen, and welcome to our third quarter 2024 results presentation. Hosting our conference call today is Yves Muller, CFO and COO of HUGO BOSS. Before I hand over to Yves, allow me to remind you that all revenue-related growth rates will be discussed on a currency adjusted basis unless otherwise specified. Also, and just like in the past, please limit your questions during the Q&A session to a maximum of 2. And with that, let's get started, and over to you, Yves.
Yves Muller: Thank you, Christian, and a warm welcome from Metzingen, ladies and gentlemen. As you could see from our press release this morning, at HUGO BOSS, we can look back on the solid third quarter performance. The quarter characterized by revenue improvements despite ongoing external challenges, due to weak consumer sentiment. This development is a testament to the strength and attractiveness of our brands, BOSS and HUGO, which we have built up in recent years, by consistently executing our Claim 5 strategy. Equally important, we have clearly improved cost efficiency as announced in our last update in August. By leveraging our global sourcing activities and implementing dedicated cost measures, we have increased efficiency and effectiveness across our business. These efforts were instrumental in limiting OpEx growth in Q3 and supported our bottom line development. Moreover, they strengthen our confidence in our 2024 financial outlook, which we reconfirm today. In light of the persistent macroeconomic uncertainty, we continue to focus on what we can influence directly, exercising strict cost discipline, while strategically investing in our brands products and consumer experiences. This fundamental approach will not change in the future. We remain fully committed to safeguarding the long-term strength of BOSS and HUGO even as we face external challenges in the short-term. Now before I guide you through the details of our Q3 bottom line performance and our expectations for the remainder of the year, let's dive into the top line trends that shaped the quarter. As you are aware, our industry continued to navigate a highly volatile market environment also in the third quarter characterized by ongoing macroeconomic and geopolitical headwinds. While these challenges weighed on sector development in most markets, the impact was particularly pronounced in China, where subdued consumer confidence had an even more adverse impact on domestic consumption as compared to Q2. Against this backdrop, we are pleased that we returned to growth in Q3. Overall, group sales increased 1% in the three month period, contributing to our top line performance over the first nine months with group sales now up 2% year-on-year. The foundation for this success lies in our ongoing efforts to further enhance the attractiveness of our brands, deepen customer engagement and deliver compelling product experiences. Initiatives like these remain key to supporting our future top line momentum as we are not willing to compromise on brand relevance and our superior price value proposition. Therefore, let's take a quick look at some of our most recent brand and product highlights. In August, we introduced our BOSS Fall/Winter 2024 collection celebrating the launch with an impactful 360-degree campaign. It features another iconic lineup of personalities, including the highly anticipated debut of our strategic partnership with David Beckham. Overall, we were able to more than double the level of engagement on social media as compared to last year's campaign. Only a few weeks later, BOSS generated headlines at Milan Fashion Week showcasing the upcoming Spring/Summer 2025 collection in an out-of-office themed show. The event was streamed live globally and reached over 40 million views setting a new milestone as the most successful fashion show in our history. Last but certainly not least, HUGO fostered its global presence in the world of Formula 1 with a series of physical and digital activations during Singapore Grand Prix. They were accompanied by the launch of the latest HUGO X Red Bull Fall/Winter capsule blending contemporary tailoring and performance well with iconic fan apparel. Fueled by these successes, both our brands continued their growth trajectory in the third quarter. This includes sales for BOSS Menswear being up 1%, while BOSS Womenswear improved by 2%. HUGO also posted 2% growth, supported by the ongoing rollout of our new denim line HUGO BLUE. Moving on to our regional performance and starting with the Americas, where we continued our growth trajectory also in the third quarter. Revenues in the region expanded 4% year-over-year, supported by further sales improvements in the most important U.S. market. This performance reflects our brand's successful 24/7 lifestyle positioning, which kept fueling momentum, particularly in department stores. In Latin America, our momentum remained equally resilient, once again delivering double-digit growth, while Canada remained on the prior year level. Notably, when looking at the first nine months of 2024, sales in the Americas were up a solid 6%. This is fully in line with our original guidance range of mid to high-single-digit growth for the year. Switching gears to EMEA, where we returned to growth in Q3 with sales up 1%. On the one hand, revenue improvement in Germany largely offset muted consumer sentiment in the U.K., as well as reduced demand in France during the Summer Olympics. At the same time, we maintained our double-digit growth trajectory in the emerging markets with ongoing robust trends in the Middle East. To conclude on our geographies, let's spend a moment on Asia Pacific, where sales declined by 7% in Q3. While Japan continued to grow double-digits, the region's overall performance was impacted by ongoing subdued consumer confidence in China. This softness intensified quarter-over-quarter, affecting in particular, local demand, but also international tourism to some extent. Given the uncertain near-term outlook for consumer sentiment in China, we remain vigilant in the short-term. At the same time, it's also worth noting that our exposure to China remains quite limited, currently representing just 5% of group sales. Therefore, we are also continuing our efforts to enhance the customer experience and drive brand equity in China over the long run. This includes initiatives like the opening of our new BOSS Halo store in Shanghai in just a few weeks' time. To finish off on our top line performance, let's take a quick look at our distribution channels. I'm glad to see that our momentum in brick-and-mortar wholesale continued with sales up 4% in Q3. This marks our 14th consecutive quarter of revenue growth in physical wholesale. In view of the overall market environment, this is all the more remarkable and serves as evidence that we are continuing to gain market share in the multi-brand environment. Importantly, our growth in this channel not only reflects the fulfillment of our order books for the current Fall/Winter season, but also the resilience of our replenishment business. On the brick-and-mortar retail side, sales remained 3% below the prior year and thus broadly on the levels witnessed here in the second quarter. As in Q2, this performance was largely due to traffic declines in key retail markets, such as the U.K. and China, which more than offset higher sales per transaction. Excluding these two markets, brick-and-mortar retail sales were broadly stable in the three month period. Finally, our digital business returned to growth in Q3 with sales up 6%. This development is mainly due to revenue improvements within our digital partner business, particularly as sales generated with digital pure players in Europe rebounded strongly in the quarter. This renewed momentum highlights our effective digital strategies and partnerships, enabling us to exploit opportunities across multiple touch points in the digital landscape. As we work to enhance the omni-channel experience and strengthen the connection to our brands, both online and offline, we are placing a particular focus on customer loyalty. In this context, we are encouraged that our global membership base has grown by 25% year-over-year. With 0.5 million new members added in the third quarter alone, we recently surpassed the milestone of 10 million registered customers. Retaining their long-term loyalty to our brands is of utmost importance, and our new innovative membership program, HUGO BOSS XP, will be the next catalyst. Following its successful launch in the U.K., we are now extending HUGO BOSS XP to customers in Germany and France. In the upcoming quarters, we will roll out the program to further markets worldwide, including the U.S. market as we are committed to expanding our global member base and deepening customer engagement. This, ladies and gentlemen, concludes my remarks on our top line performance in the third quarter. Let's now move over to our bottom line development. Thanks to our enhanced focus on driving cost efficiency, we limited the EBIT decline to 7% in the third quarter, reaching EUR95 million. Consequently, and despite the decline in gross margin, our EBIT margin accelerated quarter-over-quarter, coming in at a level of 9.3%. But let's go through the profit and loss state -- item by item, starting with the gross margin development. On the positive side, we continued to successfully leverage our operations platform by further enhancing the efficiency of our global sourcing activities. This included achieving greater economies of scale, optimizing vendor allocation and further reducing air freight usage. Combined with more favorable product costs compared to last year, these initiatives provided a tailwind of around 200 basis points to our gross margin development in Q3. However, we also faced mounting pressure from several external challenges, which altogether impacts our gross margin by around 250 basis points. These included the renewed spike in global freight rates, a more competitive promotional landscape, as well as adverse currency effects. Coupled with unfavorable channel and regional mix effect, our gross margin ultimately saw a decline of 50 basis points in Q3, thus falling short of our initial expectations. Importantly, when looking at the performance in the first nine months of the year at 61.5%, our gross margin remained stable, compared to last year's levels. Speaking about the gross margin, let me emphasize once again that we remain committed to sustainably improving our gross margin in the long-term. We are convinced of the structural opportunities our gross margin offers. Therefore, our primary focus will remain on driving further sourcing efficiencies by leveraging our operations platform in the quarters to come. With this, let's now turn to operating expenses. Thanks to the successful implementation of several cost-saving measures aimed at curbing expense growth and supporting profitability, operating expenses increased by 1% in Q3. This represents a strong improvement, compared to the 9% increase recorded in Q2. In addition to lower administration expenses, we were also able to significantly slow down the growth of selling and marketing expenses. The latter were up just 2% year-on-year compared to a 10% increase in the second quarter. In brick-and-mortar retail, selling expenses rose by 6%, mainly driven by inflation and expansion-related costs. Consequently, this growth was half of what we experienced in the second quarter. Marketing investments, on the other hand, decreased by 3%, reflecting enhanced marketing efficiencies. This entails, among other things, prioritizing high-return initiatives such as our BOSS fashion show in Milan. Importantly, at 7.4% of group sales, our marketing investments are fully in line with our 7% to 8% target range outlined in Claim 5. Lastly, we successfully reduced administration expenses by 5%, underscoring our disciplined approach to managing overhead costs. This development resulted from several initiatives aimed at boosting organizational efficiency, including a more restrictive hiring policy, and cutting expenses in nonbusiness-critical areas such as travel, consultancy and hospitality. To conclude on profit and loss, net income after minorities came in at EUR55 million, down 13%, compared to the prior year level. This development also reflects the modest increase in net financial expenses due to higher interest costs in the third quarter. Consequently, earnings per share also decreased by 13%, totaling EUR0.79. Now turning to the balance sheet, where we managed to improve trade net working capital by 10% on a currency-adjusted basis. This development primarily reflects a reduction in inventories down 6% year-on-year or 300 basis points in relation to sales. Along with higher trade payables, this enabled us to more than offset a modest increase in trade payables. The latter is linked to our ongoing robust wholesale performance. As a result, the moving average of trade net working capital as a percentage of sales further improved quarter-over-quarter. At 20.4%, it's in line with our full-year target of approaching 20%. In terms of capital expenditure, investments in the third quarter rose by 28% to EUR89 million, mainly driven by the expansion of one of our key logistics hubs alongside selective enhancements to our store network and strategic initiatives in digital. Last but not least, free cash flow generation picked up year-over-year, totaling EUR40 million. Therein, improvement in trade net working capital more than offset the impact of our bottom line development and the step-up in investment activity. This, ladies and gentlemen, concludes my remarks on third quarter operational and financial performance. Let's now move on to our expectations for the remainder of the year. Building on our solid performance in the third quarter, today, we reconfirm our top and bottom line outlook for the full-year 2024. At the same time, we remain vigilant in the face of ongoing global macroeconomic challenges and short-term uncertainties surrounding consumer sentiment. Consequently, we continue to expect group sales in 2024 to increase between 1% and 4% in group currency with a slight negative currency impact. This outlook is supported by our robust order intake for the upcoming Spring 2025 season, alongside several brand product and sales initiatives planned for the remainder of the year. This includes, among others, our BOSS holiday campaign launching tomorrow and featuring our Fall/Winter all-star cast. With regards to our bottom line expectations for the year, we remain committed to enhancing efficiency across all areas of the business also in the final quarter. Just as we did in Q3, we will continue to place a particular focus on areas such as sales, marketing, administration and operations. Overall, these measures will enable us to limit the growth of our OpEx also in the course in the fourth quarter. This, in turn, will provide important tailwind to our bottom line development in 2024 for which we are reconfirming our EBIT target range of between EUR350 million and EUR430 million. Ladies and gentlemen, before I take your questions, let me briefly summarize. In the third quarter, we have demonstrated resilience by maintaining a sharp focus of what we can control, driving operational efficiency and cost discipline, while strategically investing in our brands and deepening customer connections. As a result, we successfully returned to growth despite a weak consumer backdrop. This achievement is a clear testament to the strength of BOSS and HUGO, while also highlighting the success of our Claim 5 strategy. Our intensified focus on cost efficiency has started yielding benefits to our bottom line development, evident in the significant deceleration of OpEx growth. By maintaining the same level of determination and discipline also going forward, we are confident we will successfully manage short-term macroeconomic headwinds and bring 2024 to a successful end. Most importantly, we will continue to balance prudent cost management with strategic investments to secure short-term profitability and drive long-term profitable growth. Based on this, we are well positioned to not only drive future margin improvements, but also to create lasting value for our shareholders in the years ahead. And with this, I'm now very happy to take your questions.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] Our first question comes from Frederick Wild from Jefferies. Please go ahead.
Frederick Wild: Yes, good morning, Yves and Christian. Thank you for taking my questions. First of all, can I ask about how current trading has gone in September and October. And if you have a regional split within that, that would be incredibly helpful. And secondly, on the gross margin bridge into Q4, it feels like that between freight, promotional intensity and FX, you had some surprises in Q3. Can you give us a sense about how you're thinking about those into the final quarter. And presumably, we are now looking at a gross margin less than 62% for the full-year, but any comments you've got around that would be very helpful as well. Thank you.
Yves Muller: Yes, good morning, Freddie, thank you very much for your questions. So as you know, I mean, current trading is always in -- your top question. We are not very explicit in answering this. But overall, what we can say for Q3 is that we have seen actually a kind of gradual improvement over the months from July, August to September. And I can confirm overall that the October performance was very similar to the performance how we ended the quarter. So this makes us a little bit confident, although we have to say, overall, we have a cautious view over the next quarters to come in terms of consumer sentiment and macroeconomic uncertainties. But overall, we feel fine how we started into Q4. And with the gross margin development, I think we try to be very explicit in our chart there. So first of all, I really want to highlight that we structurally improved our gross margin by the sourcing efficiencies. So that this -- the point that we made in terms of 200 basis points of improvements are really structurally and long-term generating. On the other side, we have experienced external factors. And I think one effect or one driver, which came by a surprise, was actually the higher freight rates overall. So what has started in March was longer lasting and that was around 100 basis points in terms of affecting -- had a negative effect on our gross margin, which I want to highlight. The promotional activity was a little bit elevated, but elevated on the same level like in the quarters before, and it was around, say, 50 basis points. And I think if we now go into the fourth quarter, I think this is the major question that you're raising. I think you will see the structural improvements will be also visible in Q4. Those things that we can influence on our own. On the other side, freight cost, freight rates will remain elevated, although we are seeing that there is a slight relief coming perhaps in the next months or quarters to come, but this is still early to call. And we have a cautious view regarding the promotional activity will be more or less perhaps on the same level that we expect in course of this year and that we have seen. And I think -- which I think worth mentioning is that the comparison base is getting easier in Q4. I think overall, this is worth mentioning when we are now stepping into Q4 2024.
Frederick Wild: Thank you and sorry for asking the obvious question.
Operator: The next question comes from Grace Smalley from Morgan Stanley. Please go ahead.
Grace Smalley: Hi, good morning. It's Grace Smalley from Morgan Stanley. My first question would just be on OpEx, please. I think when you last gave the H2 guidance for OpEx growth, came away with the understanding that the OpEx control would be more Q4 weighted. But in fact, you've already shown very strong OpEx control in Q3. Could you just help us with what drove, maybe at least versus our expectations, the better-than-expected OpEx control already in Q3? And then what you expect for Q4 OpEx growth, that would be helpful? And in particular, on Q4, if given your comments there that you expect currently that promotions will be -- it sounds like broadly flat in Q4 given the easier comp from last year. If promotions do continue to be a headwind year-over-year in Q4 on gross margin, are there more levers you can pull within the OpEx base in Q4 to help offset that? And then my second question, please, would just be -- and you may not be able to answer this, but just if there's any comment on 2025, and in particular, kind of your previous targets that you had out there of the EUR5 billion in sales and the 12% EBIT margin and how we should be thinking about the time line to reach those targets now? Thank you very much.
Yves Muller: Yes. Thank you very much, Grace. So actually, I noticed three questions, more or less. So perhaps starting with the OpEx. When we had last time on our call in August, I laid out that we try to limit the growth rates of the OpEx to low-single-digit. I think we are now at the lower end. I think we had a great performance regarding this kind of cost -- OpEx control in Q3. And of course, we want to maintain this also for Q4. I think these underlying cost growth should be limited to this low-single-digit growth in Q4 to remain. And regarding your questions regarding promotions, I mean, you have seen this. We -- I think overall promotions have been already on a kind of high level. So we -- actually, we do not expect that promotions will somehow deteriorate in Q4. You've seen that a lot of competitors have destocked their inventories, and this is how we look into Q4. And regarding our midterm guidance, I think -- please be aware, of course, we talk about the EUR5 billion in net sales and the 12% margin. I think given the ongoing macroeconomic uncertainties, it's fair to say that it will take longer than 2025, but I think we will be much more concrete in March 2025 when we give you the concrete guidance for 2025. And I think it's worth mentioning that Claim 5 will last until the end of -- Claim 5 strategy will last until the end of the 2025 year. I think it's worth mentioning that in course of the year 2025, we will have an update on our midterm strategy as well.
Grace Smalley: Okay, very clear, Thank you very much.
Operator: The next question comes from Manjari Dhar from RBC. Please go ahead.
Manjari Dhar: Hi, good morning. I just had a question on OpEx, maybe developing on from Grace's question. I think at Q2, you talked about a ramp-up in savings initiatives through the second half. But I was just wondering if you could give any color on what more there is potentially to come through in Q4 and maybe even next year? And sort of how much of the savings you think could be longer-term recurring savings. And then my second question was on the competitive backdrop. Any color on that would be very useful and be interested in how you're thinking about the opportunity for market share gains now?
Yves Muller: Thank you. Manjari, thank you very much for your questions. You were very difficult to understand. I think the first question was related to OpEx and what kind of things are actually structurally -- I think what we really try to do is, of course, to get, let's say, structural efficiencies. One thing is I talked about the gross margin, there, you've seen the structural improvement of 200 basis points in terms of sourcing efficiencies. This is related to the COGS, but don't neglect this is a big bunch of costs as well sitting on the Coxs, which we focus on. And then on the other side, I think we will focus on all the efficiencies that comes with the company in terms of marketing efficiencies. I think you have seen this. We try to get more out of EUR1 spend. And with this, we try to increase the impact of the marketing spendings that we are having. I think we have shown this already in Q3 that we have made improvements there. And still, our marketing to net sales ratio is worth 7.4%, within our range between 7% and 8%. And regarding administration expenses, you have seen that we have made big progress there. Of course, we try to limit the increase there. We try to keep our hiring freeze in place. And with this, control our OpEx development going forward. And I think what is very crucial to understand is that how we manage our business that, of course, we want to have an alignment between net sales development and cost development. And I think in Q3, we really managed it in a good way because we are -- the growth was somehow limited to just 1%, but to get the cost down from 9% to 1% was in our understanding a big achievement. Regarding the market share gains or the market development, let me be very explicit that in the wholesale channel where you have a kind of multi-brand environment, we are definitely gaining market shares. This is due to the price value proposition that we have with the 24/7 lifestyle image that we're having, definitely, we are gaining market share. And actually, we have a very robust order book as well for the spring and summer seasons to come. So for the next two seasons, it looks good that we maintain our -- that we will maintain our market shares. And by the way, what was quite promising also in Q3 was our replenishment business. We really saw that wholesale pool orders were picking up. This is, I think, a good sign, sound development and…
Operator: The next question is from Jurgen Kolb from Kepler Cheuvreux. Please go ahead.
Jurgen Kolb: Thanks very much. Two questions. First of all, on China, I appreciate that, obviously, the share has declined to 5% now. But it seems to be as if this is indeed and we, of course, know it a weak market currently, at least. Is there any strategic change that you are thinking about maybe reviewing your store base or anything, what you can change in terms of supply chain or what have you? As you mentioned, you're going to open up a store that doesn't seem as if you're planning to decline or to reduce the exposure. But many -- any comment here on China would be helpful. And then just housekeeping-wise, free cash flow guidance has been given for around EUR 500 million. Is this still on your agenda, you think you can still achieve that or any changes that you might have in this respect? Thank you.
Yves Muller: Good morning, Jurgen. Thank you very much for your two questions. So first of all, yes, I think it's worth mentioning and you are right, the China exposure that we currently have is around 5%. And I think the color I can give you in terms of the recent strategy that we are having is that we are focusing on bigger stores. Actually, I think the Chinese consumer, they want customer experience, that's the reason why we are opening on Nanjing Road a halo store in Shanghai, which will be of bigger size. That will be opened actually in December. And this is what we are doing. We have already opened Guangzhou last year. This year, we have Shanghai. And usually the square meter size in China is much lower in comparison to our international stores. So actually, we look at bigger stores in China in order to have -- to improve our customer experience. And on top of this, it comes to the product assortment. So the Chinese consumer, they are very sports oriented at the moment. So our BOSS Green offering is actually fitting their needs. And we are expanding our BOSS Green offering there as well besides the BOSS Camel piece. So BOSS Camel is already sitting at 25% to 30%. But the BOSS Green products, technical items, lighter wear, outerwear jackets. This is really running in China, and we are focusing on these products. And I think another point which is mentioning is our development on TikTok. So we have really expanded our activities on TikTok as well in the digitals channel. So for the time being, whereas Tmall is a little bit suffering at the moment, TikTok is really expanding while -- extremely well. So we have a live stream there where we're offering our products, live streaming products on TikTok, and we are very happy, and we were investing into our TikTok presence, and this is helping our net sales as well. Regarding your second question, so regarding free cash flow. So we are now sitting cumulated at EUR200 million, including IFRS 16. This is an improvement versus last year of almost EUR280 million. So this means if you look at our EUR500 million targets, there is still EUR300 million to go. I think this would be a big step. It would be a little bit lower. I think that under these macroeconomic uncertainties and the consumer sentiments, EUR500 million will be difficult to reach, but we try to get as close as we can to this kind of number that we laid out.
Jurgen Kolb: Very good, thank you guys.
Operator: The next question comes from Michael Kuhn from Deutsche Bank. Please go ahead.
Michael Kuhn: Good morning. Two from my side as well. One is on product initiatives; you mentioned the positive contribution of Blue in the quarter. Obviously, we now also see the contribution of selected by Beckham. Just a brief recap on what the contribution was so far this year and what you plan over the upcoming quarters, especially with Beckham where I think the selected by Beckham is not yet a real capsule collection, but that is yet to come? And then a second one on brick-and-mortar retail. Maybe you could provide us with some details on space productivity in the recent quarter and what you expect for the next few quarters to come? Thank you.
Yves Muller: Michael, thank you very much for your two questions. So regarding product initiatives. So overall, with HUGO Blue, we are actually very happy with the performance. So at the end of this year, HUGO Blue will be like -- up to 10% of the HUGO net sales. So we are quite happy with this kind of overall development. And regarding product initiatives with David Beckham, you have seen David now starting in our winter campaign already in August. I've said that in course of Q3, our performance, our business was actually improving. So this campaign was, like we said during our presentation, was very successful. It was actually from social media. It has more than doubled in terms of the engagement we've seen in comparison to last year. And relevant product initiatives will actually start at the end of January 2025 when we start with David Beckham, a big underwear campaign, where we will highlight our hero products as well as together with David. And I think please stay tuned because I think this will have then the relevant commercial effect starting in Q1 2025. And regarding brick-and-mortar retail, this was one of your questions. So the store productivity overall in Q3 was down by 6%. We are now sitting at EUR11,600, and that was predominantly driven actually by lower traffic, which could be slightly compensated by higher conversions and higher net sales per transaction. But as we can see all over the world, traffic is low due to the low consumer sentiment. And we suffer the most in modern-branded environments. And as I said, if -- once we come into a multi-brand environment like in department stores, we really are very happy with the performance because then the footfall is generally higher, and we will be regain market share versus the competition.
Operator: The next question comes from Rogerio Fujimori from Stifel. Please go ahead.
Rogerio Fujimori: Hi, good morning, Yves and Christian. I was just hoping if you could elaborate on the best-performing categories and price points for both men's, women's and Hugo in Q3. And perhaps the categories and price points that performed less well? And my second question on the U.K., if you could -- I was wondering if you could elaborate on recent retail trends, both brick-and-mortar and hugoboss.com? Thank you.
Yves Muller: Okay. Thank you very much, Rogerio. So for the two questions, I'll start with the U.K. one. So quarter-over-quarter, we have actually seen in the U.K. brick-and-mortar and digital, both a slight improvement versus last year. Still, this is only -- still it's declining, but actually, we might have seen the trough in U.K. And regarding the products, I think definitely the highlight products regarding formal wear are the performance -- tailoring suits, this is a top performance product line and as well where we really make big progress is on shoes and accessories, especially with the BB on accessories. Womenswear and menswear on the shoe side, we have the Gary shoe, which will become a hero product for us as well. We have a great sneaker. So we are really making big improvements on the shoes and accessory pieces as well.
Rogerio Fujimori: Okay, thank you.
Operator: Next question comes from Zuzanna Pusz from UBS. Please go ahead.
Zuzanna Pusz: Thank you for taking my questions. I'll stick to two. So first of all, maybe on your channel dynamics. So you continue to see nice outperformance of wholesale, I guess in brick-and-mortar, and also this quarter, you mentioned that digital was doing well, and it seems also sort of third-party digital. So how would you explain that? Are you -- I mean I would have imagined that normally wholesale trend should be more or less aligned with retail. But perhaps you could elaborate on your point of sale, maybe you're expanding them, maybe you're just gaining share in wholesale channel. So that's my first question. And then secondly, on OpEx. So you've done a great job guiding costs. But I'm just wondering, is there a limit to that? Is there a point when you look at your business, is there still a lot of costs you could cut? I mean I always thought that historically, you've been very, very lean as a business. So I'm just wondering if maybe next year if trends continue to be weak, we could hit a point where there's just only that much you can cut. Thank you.
Yves Muller: Yes, good morning, Zuzanna, thank you very much for your two questions. So you try to find a good argument between the retail and the wholesale performance. And I tried to be already explicit with this. So in the retail environment, you're really suffering with a mono-brand environment due to low traffic, whereas in the wholesale environment, you have a multi-brand environment. And there, we definitely -- we have a very strong product. We have a brand strength, and we have a kind of relative outperformance versus our competition due to a very good price value proposition. I think the consumer, if he compares -- if he or she compares the products, I think we have a kind of superior offering, and that's the reason why we are gaining market shares in the multi-brand environment. And this is on the one side true on the wholesale off-line piece and also on the digital piece. So especially in Q3, we had a very strong partner performance, digital was up, like we said, plus 6%. So I think you have to -- our position with the price value proposition that we are having, it seems to be that we both have a relative outperformance versus the peers online and off-line. And regarding OpEx, so first of all, I think on the gross margin side, so on sourcing efficiency, I think we still can further improve with vendor consolidation, more units per SKU that we are buying because we can somehow reduce the complexity of our collections. So with this, it's a kind of, let's say, ongoing momentum that we might experience on the COGS side, which is relevant actually from a gross margin perspective. And on the structure of the portfolio and good, better, best stores, I think we still can optimize our portfolio there as well. So I would clearly say that regarding OpEx, we have not come to an end if we want to optimize and control our OpEx side.
Zuzanna Pusz: That's very helpful. Can I just follow up on wholesale, but are you able -- do you track, I don't know, is there anything you could share with us in terms of, okay, we have X number of wholesale accounts we work with versus X accounts last year. I mean, any incremental color you could share on that?
Yves Muller: Well, actually, it's the existing base. And if I look at the top 20 wholesale accounts in my portfolio, they comprise around, let's say, 60% of the business. So it's a very, let's say, concentrated wholesale partners. And we are growing with all the partners in the top 20. I think this shows the trend we want to win with the winners. We have laid out a strategy with all the different wholesale partners, and this is going into the right direction. And I think there is another component that I want to highlight. On wholesale brick-and-mortar, you also see the franchise business. So over the years, we have added 50 to 80 more, let's say, mono-branded stores on the franchise side as well. So this is constantly increasing in Latin America, in Southeast Asia, in Middle East, in Eastern Europe, and this is included into this number as well.
Zuzanna Pusz: That's great. Thank you so much.
Operator: The next question comes from Thomas Chauvet from Citi. Please go ahead.
Thomas Chauvet: Good morning, Yves and Christian. My first question, just a follow-up on digital. You indicated that, that 6% growth in Q3 was due to multi-brand partners mostly. Could you split the growth of digital wholesale and digital retail in Q3 and maybe in the 9 months in order of magnitude? And what is the share of own retail versus wholesale within digital this year so far? Secondly, on gross margin, can you give us an idea of how much you've reduced air freight by over the last 12 months or so? And how far more can you go? And when you said you were caught by surprise on the increase in freight costs in recent months, has it been broad-based on all freight modes, including sea containers. And just a follow-up on the store productivity question earlier. What was the year-on-year increase in square meters you had for brick-and-mortar retail in both Q3 and nine months, please. Thank you.
Yves Muller: Good morning, Thomas. I noted down several questions. So regarding the store productivity in terms of space, that was your last question. It was an increase overall of low-single-digit in terms of retail space. Then regarding gross margin, I think your -- first of all, I think, overall, you're right. So we are constantly getting the air freight share down. We are now at a -- I would say, at a low mid-teens ratio in terms of air freight share, and we still can get it further down to a high-single-digit number. So I think we are now half the way in terms of air freight share usage that we have still work on, and this has a big effect on the improvement on the cost side and the environmental impacts going forward and will last also in the year 2025. And regarding the freight costs, I mean, the spot rates, it was really broad-based. It was related to sea and it was related to air freight rates as well, so both rates. And your first question was relating regarding digital, yes, we grew 6%. Overall wholesale versus digital is 50-50. And I can say that retail in Q3 was rather flattish. So just to compare our numbers versus the others.
Thomas Chauvet: Thank you, Yves.
Yves Muller: Thank you.
Operator: The next question comes from Martin Ben Rada from Goldman Sachs. Please go ahead.
Martin Ben Rada: Great, thanks very much, Yves and Christian, for the question today. I just had two, please. Another was just on the freight impact for gross margins. Yves, super helpful with your comments around air and sea seeing pressures there, and headwind being a little bit less given the move in prices. I just wonder how far into next year could this be a bit of a headwind if you think about the potential timing for the pressures? And then the second one would just be on the wholesale order book. I wonder if you can maybe talk to what kind of growth you're seeing in your wholesale order book at the moment. I know when we last spoke, it was around that mid- to high single-digit level, but interested in any color on there?
Yves Muller: Thank you very much, Ben. So regarding the wholesale order books, I can reconfirm it to high single digit for the spring and the summer campaign. The fall campaign is -- we are just about to sell it. It's too early to call because we're just selling it now for two weeks out of five. So it's too early to call, but mid to high, I can already confirm. And regarding freight rates, I think it's -- perhaps to simplify this, we do everything what we can do in order to get the air freight share further down because that's a kind of what we call a structural improvement that we can do on our own, and this will have a positive effect going into next year. If, of course, higher rates will prevail, this will have a negative. And there you can make your own assumptions how this will prevail. We will see this when we make our guidance actually, and we'll be much more explicit when we do the guidance in March 2025, if this is helpful.
Martin Ben Rada: Great. Thanks very much.
Operator: The next question comes from Anthony Charchafji from BNP Paribas. Please go ahead.
Anthony Charchafji: Yes, thank you very much for taking my question. It's Anthony Charchafji from BNP. Just two questions. The first one would be on HUGO Blue. So you said that it should represent 10% of HUGO by year-end. If I remember correctly, it should be maybe 90% exposed to wholesale. So if we -- and a very low cannibalization versus the rest of HUGO. So if we strip out the HUGO Blue from the wholesale, I mean, would it be fair to say that the underlying wholesale excluding HUGO Blue would be rather flattish rather than mid-single digit? And I'm asking this question to think about the wholesale into 2025? And my second question would be on the space and like-for-like. If you can give us a more comment at group level for retail in terms of like-for-like, I think it was rather low single digit in H1 of space contribution. But could you give us an update on that and what you foresee for next year? And the last 1 would be any price increases forecasted for you. Thank you.
Yves Muller: Yes. Thank you very much, Anthony, for your questions. Perhaps starting with retail like-for-like. I think because of our big renovations, remodeling, optimization program, we're not showcasing like-for-like. But as I said, productivity was down minus 6%, and space was up low single digit. I think this was the comment that I was making. And regarding the HUGO Blue wholesale development, I can clearly confirm that BOSS was growing at the same amount that we laid out around 4%. So we are very, very happy with the BOSS performance. And any comments regarding 2025, I think we're going to make them actually in our next session in March.
Anthony Charchafji: Okay. Just on the question, it was rather on HUGO Blue wholesale performance and contribution versus the group.
Yves Muller: Even if you exclude HUGO Blue, the performance would be in definitely positive territory and around 3 point something percentage point.
Anthony Charchafji: Thank you.
Christian Stoehr: Great. Perfect. Thank you, Anthony. Thanks, everyone, for asking your questions. This actually completes today's conference call. And as always, if you have any further questions you wish to follow up with, please feel free to contact the Investor Relations team any time. Thank you very much. Have a great afternoon and goodbye.
Operator: Ladies and gentlemen, the conference has now concluded and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.